Operator: Good afternoon, ladies and gentlemen, and thank you for standing by. Welcome to the Deckers Brands Third Quarter Fiscal 2018 Earnings Conference Call. At this time all participants are in listen-only mode. Following the presentation, we'll conduct a question-and-answer session. [Operator Instructions] I would like to remind everyone that this conference call is being recorded. I'll now turn the conference over to Steve Fasching, Vice President of Strategy and Investor Relations.
Steve Fasching: Thanks, and welcome everyone joining us today. On the call is Dave Powers, President and Chief Executive Officer; and Tom George, Chief Financial Officer. Before we begin, I would like to remind everyone of the company's safe harbor policy. Please note that certain statements made on this call are forward-looking statements within the meaning of the federal securities laws, which are subject to considerable risks and uncertainties. These forward-looking statements are intended to qualify for the safe harbor from liability established by the Private Securities Litigation Reform Act of 1995. All statements made on this call today, other than statements of historical fact, are forward-looking statements and include statements regarding our anticipated financial performance, including, but not limited to, our projected revenue, margins, expenses, earnings per share and operating profit improvement as well as statements regarding our cost savings and restructuring plans, strategies for our products and brands and our review of strategic alternatives. Forward-looking statements made on this call represent the company's current expectations and are based on currently available information. Forward-looking statements involve numerous risks and uncertainties that may cause actual results to differ materially from any results predicted, assumed or implied by the forward-looking statements. The company has explained some of these risks and uncertainties in its SEC filings, including in the Risk Factors section of its annual report on Form 10-K. Except as required by law or the listing rules of the New York Stock Exchange, the company expressly disclaims any intent or obligation to update any forward-looking statements, whether to conform such statements to actual results or to changes in its expectations or as a result of the availability of new information. With that, I'll now turn it over to Dave.
David Powers: Thanks, Steve and good afternoon to everyone. Our third quarter performance meaningfully surpassed our expectations as our efforts increase full-price selling for our products and drive sustained profitable growth for our brands continued to gain traction. On top of great execution by our teams and improved retail environment and more favorable weather compared with last year also aided our results. For our third quarter, sales were $810 million, compared to guidance of $735 million to $745 million and earnings per share $4.97 versus guidance of $3.65 to $3.75. While the portion of our outperformance was timing related, which Tom will review in a minute, our recent results are further validation that the improvements we've made and continue to make at the business are paying off. Last year at this time I discussed how we're working on leveraging our core competencies to strengthen our connection with consumers, target new audiences and become more strategically aligned with our key wholesale partners. These efforts included preserving the UGG Classics franchise with a focus on core brand positioning, reaching a younger consumer with existing and new distribution, growing the men's business with an improved and focused product line and creating compelling and segmented year around offering. This quarter is an indication that those efforts are paying off as we successfully executed on delivering seasonal relevant product from UGG with standout items such as innovative winter and waterproof boots, slippers, the classic mini and the new men's style, improving pricing and full-price selling to the rationalization of our wholesale distribution channel and better inventory management in the market place, driving significant selling and sell through with new accounts such as Footaction domestically ASOS internationally, enhancing our targeted marketing campaigns in order to attract the attention of new and younger consumers and elevating our DDC consumer experience by offering a stronger presentation of lifestyle products from head to toe. Overall, we're extremely pleased with our third quarter results, especially the performance of the UGG brand as sales grew 4% to $735 million, which was highlighted by a strong full-price selling. This is a testament to the continued strength of the UGG brand globally and the importance of the brand to our retail partners. Now, turning to performance by channel, starting with our wholesale and distributed business, channel inventory was much cleaner to start the third quarter than it was a year ago. This allowed our partners to capitalize on their full-price inventory positions and capture demand as the appetite for UGG product grew throughout the quarter. Sales were further accelerated as we got deeper into the holiday selling season and weather turned exceptionally cold in many parts of the US. These factors contributed to a stronger than expected reorder business as retailers placed additional orders to meet strong demand late in the quarter further aiding full-price selling with fewer whole closeout sales, which was accomplished by strategic utilization of the UGG closet which brings in higher margins. From a product perspective, we saw success with classic mini, ankle boots, slippers and Neumel, which are all geared towards the younger consumer and provide a great entry point into the brand and cold weather and waterproof products, specifically the Atteranda [ph]. Performance of our DTC channel was strong and we're very pleased to report a positive 1.7% comp versus guidance of a negative low single digits comp. The positive result was driven by stronger than expected ecommerce results and better trends in retail store comps. Our global ecommerce business delivered our largest volume quarter to date, benefiting from strong online demand and a shift in consumer purchasing patterns. Our brick-and-mortar business also outperformed expectations. While traffic remains challenged, comps were better than expected, conversion was up and units per transaction increased mid-single digits. Our stores remain a critical component of our consumer facing omnichannel strategy as they provide a physical touch point with the consumer, allowing them to interact with a broader serving of the UGG product offering. In our global DDC business, we experienced a meaningful increase in sales through the classic mini and the Neumel sales, through our continued consumer interest in segmentation by offering DDC exclusive products, which carried a higher average selling price and saw notable growth with our non-UGG brands. Shifting to our regional performance across all channels, in the US we saw a number of improvements from last year, including better composition in quality of inventory ending in the quarter, strong early full-price sell through, less overall promotional activity and robust holiday sales filled in part by cold weather late in the quarter. On the international side, Germany continues to be a major growth driver as we capitalize on the growing popularity of numerous UGG classic mini styles, at the same time we saw success in China due to increases in brand awareness and growing consumer demand following our first holiday season with our brand influencer Angela Bailey [ph] and with our recent conversion to direct distribution in Canada, we experienced much stronger sales growth for the UGG brand this holiday season with the Atteranda [ph] get the top performer. Turning to the performance lifestyle group, I'm pleased to report the group grew a combined 37% in the quarter. Starting with HOKA ONE ONE, the brand continued its exceptional growth, increasing third quarter sales 66% to $32 million and continued to exceed its growth target, as the team built brand awareness and launches compelling new products. The improvement year-over-year was broad based with DDC sales up significantly and wholesale, the brand's largest channel continuing to grow meaningfully. According to NPD, HOKA's sell through at US retail easily outpaced the competition for the 12 months ended November 30, 2017, as the run specialty category was down 5%, while HOKA sales were up 47%. Also as further proof of the brand was resonating HOKA's curtails at retail had expanded beyond the Clifton and Bondi to now include Arahi and Gaviota, two files we launched in the last and a new category for the brand dynamic stability. These two additional curtails have driven increased shelf space and market share. For Teva and Sanuk, I'm extremely impressed with how quickly the teams have driven significant gross margin and operating margin improvements in their respective businesses. They've done this by executing on a focused plan to drive skill efficiencies, optimize their distribution strategies and implementing operational changes through right sized fixed overhead. Teva grew sales by 33% in the quarter to $20 million. This growth was partially driven by an extended standard selling season that drove more full-price sales later into the year. The brand is also seeing significant success in close to our footwear, with products including the Arrowood collection. As for Sanuk, sales were flat to last year, which surpassed expectations, while the brand continues to rationalize international distribution and clean the market place. Sanuk recently launched the Chiba Quest for both men and women, which is an extension to the Sidewalk Surfer franchise. The initial offering was exclusive to our DDC channel and will be available through our wholesale partners in our fourth quarter. The design and distribution plan for the Chiba Quest is focused around the core center consumer and we're very encouraged with the initial feedback. Our fiscal 2018 year-to-date results are proof that the team is successfully executing on our long-term plan and we continue to look for further opportunities to improve the business and drive healthy profitable growth. With that in mind, we'll continue to evolve our digital marketing capabilities, better engage our consumers and drive innovation in our products to bolster the importance of our brands in the market place. With that I'll now hand over the call to Tom, to provide more details on the financials.
Thomas George: Thanks, Dave, and good afternoon, everyone. Today, I will take you through our third quarter results to greater detail, break out the restructuring and other charges recorded in the quarter and provide an updated outlook for the fourth quarter and updated on fiscal 2018. Please note, throughout this discussion, where I refer to non-GAAP financial measures, I am referring to results before taking into account restructuring and other charges that our management believes are not core to our ongoing operating results. Also note, our non-GAAP results are not adjusted for constant currency. A reconciliation between our reported GAAP results and the non-GAAP results can be found in our earnings release that is posted on our website under the Investors tab. Now to our results for the third quarter, as Dave mentioned, sales came in much better than expected at $810 million, up 7% versus last year and above our guidance range. The drivers of the sales beat to guidance were approximately due to $30 million in net reorders with favorable weather conditions being a significant driver. $20 million was from the timing of wholesale orders originally scheduled for delivery early in our fourth quarter that our wholesale partners requested to be shipped sooner due to the strong third quarter sell through. $10 million of better than expected DTC performance as a positive 1.7% comp compared favorably to our expectations of negative low single digits and $3 million from foreign exchange fluctuations. Gross margin was 52.2%, also significantly better than expected and up 170 basis points versus last year. All brands saw gross margin gains due to a higher proportion of full-price selling and the strategic advancement of the close out channel coupled with continued supply chain improvements and FX contributing approximately 40 basis points year-over-year. Non-GAAP SG&A was $220 million, up 9% to last year, but as a percentage of sales it's under guidance by over 100 basis points. The increase in SG&A dollars over last year was largely due to incentive compensation being accrued for this year versus the reversal last year, was contributed approximately $19 million of the increase and variable expenses related to a higher sales. These increases were partially offset by savings related to our retail store fleet and back office restructuring efforts. Non-GAAP diluted earnings per share was $4.97 compared $4.11 last year and our guidance range of $3.65 to $3.75. The better than expected sales and gross margin drove approximately $0.70 of the EPS upside, with additional contributions in the quarter of $0.28 from lower taxes, $0.15 from timing of early shipments, $0.08 from exchange rate fluctuations and $0.04 from the $25 million share repurchase. Non-GAAP adjustments were $10 million and were related to our proxy contest, the Board's consideration of strategic alternatives and other organizational changes. Next, our balance sheet at December 31 remained strong, with cash and equivalents of $493 million compared to $296 million this time last year, inventory at $396 million up 6% compared to last year and short-term borrowings of $600,000 compared to $30 million last year. During the quarter, the company repurchased 361,000 shares of its common stock for a total of $25 million. As of December 31, 2017, the company had $375 million remaining under its $400 million share repurchase authorization, of which approximately $75 million is still expected to be utilized prior to the end of this fiscal year. Now moving to our outlook, for the fourth quarter based primarily on the shift of certain wholesale orders into the third quarter, we now expect sales to be in the range of $370 million to $375 million, non-GAAP EPS between $0.15 and $0.20 and effective tax rate of approximately 32%, due to the anticipated repatriation of $250 million of international cash in the quarter. For the full fiscal year, we're raising our guidance. This improved outlook includes flowing through $1.06 from the third quarter result driven by $0.70 of improved sales and gross margin performance, $0.28 of improved taxes and $0.08 of improved foreign currency. This results in the following updated full year guidance. Sales are now expected to be in the range of $1.873 billion to $1.878, gross margin of approximately 49%, SG&A as a percentage of sales of approximately 37%, operating margin of approximately 12%, non-GAAP EPS now in the range of $5.37 to $5.42 and effective tax rate of approximately 22.5%. We'd like to mention that although we are very pleased with how all brands performed in the third quarter, especially UGG in its most important selling season, we will look at the results objectively in planning the business for future holiday selling seasons. We benefited from the cold weather and an extra inventory turn due to the timing of the shipments early in the year, areas where we will remain cautious on in the future. But at the end of the day, we saw the true strength of our brands and how our product assortment is resonating with our consumer base. Our GAAP tax rate for the quarter is 55.3%. The main driver was the enactment of tax reform during the quarter as the company is required to recognize the effect of tax law changes in the predictive enactment. The company recorded discreet tax adjustments related to tax reform for the re-measurement of the differed taxes along with the deemed repatriated foreign earnings. With regard to our pro forma effective tax rate, as a result of the passage of the tax reform act, it is still early and we continue to access the long-term impact. But as a result of our fiscal year ending March 31, our current fiscal year and 2018 effective tax rate will benefit from the new rules and related reduction in the federal tax rate. We now expect our effective pro forma tax rate to be approximately 22.5% revised down from our previously guided figure of 26%. The 22.5% rate is due to the reduced US federal tax rate and increased ratio of foreign to total company earnings. Beyond this year, we will benefit from a full year of the lower US tax rate, but that will likely be offset by an increase in tax on international income as well as not expecting to receive the same benefit next year that we received this year from discreet items. Therefore, at this stage we're expecting our effective tax rates to remain at approximately 22.5%. The 22.5% includes the provision for federal tax of approximately half of foreign income, accordingly we will be able to repatriate our international cash, free of federal taxes, although there will still be some state income taxes. In terms of our cash position and capital allocation strategy, a significant portion of our cash balance is outside of the US. Through the new tax rules, we plan on repatriating $250 million of international cash back on shore by the end of fiscal 2018. We expect that this combined with our already strong balance sheet and enhanced cash flow generation capabilities due to the tax reform will provide the company with significant liquidity in the near-term. We're currently reevaluating our capital allocation strategy and are looking at further opportunities in addition to our current share repurchase program to put this cash to use in a way that we're able to profitably grow the business and drive shareholder value. We plan on providing more color on our plans on the next earnings call, but currently our main focus is on the $400 million share repurchase program we announced last October. Before handing the call back to Dave, I'd like to say how encouraged I am by the tremendous strides that the company has made in executing the $100 million operating profit improvement plan, especially in light of our eventful calendar 2017. Our fiscal year-to-date results coupled with our updated guidance for the remainder of fiscal 2018 are proof that we're on the right track. We still have meaningful progress to make on the plan but I'm confident that we have the right people in the right positions to meet and exceed our long term goals. Now I'll turn it back to Dave for his closing remarks.
David Powers: Thanks, Tom. We closed out calendar 2017 on a high note across our entire brand portfolio, channels and regions. For the UGG brand it has been a very successful fall winter selling season and as the trend continues into January the strength of the brand and its compelling product offering is more evident now than ever. Also as we announced last year, the board of directors is now actively engaged in the search for two new members that will coincide with the retirement of two current members. In addition, management, the board and the entire organization is firmly committed to achieving and exceeding our long term target of $2 billion in sales and at least 13% operating margin by fiscal year end 2020. Our third quarter results and updated fiscal year 2018 guidance further reaffirms our confidence in achieving the plan. Before handing the call over for Q&A, I would like to say how proud I am of the progress the entire organization has made on our long term plan. Our focus remains the same going into calendar 2018, generating healthy profitable growth to drive shareholder value and returns on capital. On behalf of the Deckers management team, I'd like to thank our police for their dedication and for driving a very successful fall winter season. With that, we are now ready for Q&A.
Operator: At this time, we will be conducting the question-and-answer session. [Operator Instructions] Our first question comes from Camilo Lyon, Canaccord Genuity. Please proceed with your question.
Camilo Lyon: Thanks. Good afternoon, guy. Great close of holiday season.
David Powers: Thanks, Lyon.
Thomas George: Thank you.
Camilo Lyon: I wanted to you give really good detail on articulating the upside in the brand. I was hoping to get some clarity on how the performance of those different styles are those the classic discipline slim the many out how does that inform how you're going to your product innovation decisions will flow into next year given the success of these franchise names?
David Powers: Yes. Good question, you're really excited with the results particularly of the mini and the Neumel, I mean obviously those are core franchise styles that we can really build off of, but they also speak to the fact that we're bringing in new consumers into the brand. The mini from our research indicates a younger consumer is participating of the brand that style took off in the quarter and continues to be strong. And then the Neumel which we have specifically targeted as are our lead style to reach a younger male consumer continues to perform extremely well. So from an innovation standpoint, we've done a lot of work particularly in our classic franchise and in our weather product this year. Going forward, we're going to continue to utilize that innovation to create more styles that are that cross that boundary of fashion and function. On the women's side, making sure that the style looks good, but if performs it can be worn all day in any weather conditions, continuing to innovate around comfort and materially uses head to toe in our lifestyle product as well and then really spending more time on evolving the fashionability of our franchise styles going into fall '18 and beyond.
Camilo Lyon: Great and my follow-up to that is you spoke about the inventory and how they were reorders in the quarter not surprising given high clinical channel into the season. Could you help us characterize the channel inventory exiting the quarter and how that's it's particularly in light of the reorder inventory in what seems to have been a very cold persistent pattern of weather in the Northeast, how do you feel about the inventory today as relates to you know the inputs that have been in place?
David Powers: Yeah. We feel really good about it. We spent a great load deal of care going into Q3 to making sure that the channel is clean the team did an amazing job of working closely with our key accounts to manage the right level of inventory not flood the market. And keep turns healthy we think we got another turn from the weather this season which helped a lot and then the other strong weather winter starting around the Christmas timeframe inflowing in through January has allowed a lot of our key accounts to continue to sell through their inventory and provide a few more reorder opportunities. So generally speaking, we're very pleased with the makeup of the wholesale channel and the quality of the inventory that's out there higher price let's close out and ending the season in a good makeup composition first brings that up and going into next fall the order book.
Camilo Lyon: Perfect. My last question is just on SG&A dollar, I think at the outset of the year there was a possibility for SG&A dollar to be down year-over-year this year looks like to finish up a touch. Can you just help us understand the opportunities and the pathway you see going forward to reducing your overall expense base?
David Powers: We're still on that pathway, we still have targets in sight for revenue and operating margin improvement as part of our profitability improvement plan for FY20, there's some puts and takes obviously through this quarter and yeah, I'll let Tom tackle.
Thomas George: Some of it really they increase some of its related to foreign exchange. Foreign exchange was a benefit to the top line in the margin but also had some more operating expenses internationally and there's also an increase in performance compensation this year relative to a year ago especially in the quarter whereas a year ago there was actually a reversal of performance comp, this year there's a provision. There's also some additional marketing that we expect in Q3 which definitely paid off and or expecting to spend a little bit more marketing in Q4 as well. But today's point for really good of what we've accomplished on the cost savings plan, we've got a lot of good visibility of additional cost savings for SG&A. Probably to add one more point we've got benefited in the quarter and for the year about 120 basis points of gross margin improvement and roughly $23 million related to our cost savings initiatives in the supply chain. Yeah I think that that the key thing to keep in mind is the supply chain improvement there are hitting the bottom line faster than we expected and we'll continue to drive against that opportunity. And so that benefit paid off as well as the reduced clothes in the channel more price selling help the margin and if you see the year round operating gross margin much better than expected a little bit higher SG&A but the bottom line profitability of solid better than expected.
Camilo Lyon: Got it. Great job, guys. Thanks a lot. Good luck
David Powers: Thanks, Camilo.
Operator: Our next question is from Randal Konik, Jefferies. Please proceed with your question.
Randal Konik: Hi, how are you? And a quick question. I just want to kind of ask about you talked the one of the strategy has been kind of going through is this idea of getting smarter with the wholesale channel distribution kind of work even harder with the count's going to really matter and kind of reducing the can accounts are less important where are we in that process and on Amazon holiday release you were your when your boots was mentioned as a top seller, so when it gets a perspective on how you're thinking about where the wholesale channel strategies have come from and where do you think you're going and how does Amazon kind of fit within that kind of construct going forward?
David Powers: Yeah. Great question. I have to give our wholesale teams a lot of credit for the way they've transition the market over the last year. We had him pretty significant account rationalization coming out of Q3 last year we had to close some sizable accounts and do some marketing our marketplace shifts to elevate protect the brand reach new consumers make sure that we're as efficient as possible and then a lot of segmentation work with reclassifying the marketplace between our core premium and pinnacle product and distribution. And so that is you're seeing the result of that this quarter better segmentation, better consumer reach, all accounts for the most part please with the quarter. There were some areas where there was some uncertainty when we opened up Macy's and when it damage done in a more robust way. Those panned out well and really feeling good about the work that's done. I'd say we're all more or mostly there I think you'll see the segmentation have a bigger impact starting this fall as part of development teams catch up to the segmentation plans and we start creating a specific product for each of those channels better segmenting them, better storytelling around specific customers and key accounts. Amazon the season went well we did have solid performance with them a little bit of pricing issues here and there but nothing significant in them pleased with how the accounts managed through that and we were able to get some sizable volume in key styles through Amazon that will benefit the bottom line and reach new consumers.
Randal Konik: That's helpful. And I guess my last question. Just looking at your website the series is elevated marketing presence around the collective so it just seems like there's been an elevated lifestyle orientation into the marketing both in visuals and so forth. Are you seeing it getting engagement to that is it helping kind of to versified further when you see the product traction it coming through in the business? You kind of kind of give us some perspective on where the marketing has come from where it's going and how that's helped kind of further kind of get people to buy these other types of lifestyle products et cetera?
David Powers: Yeah, great question. Over the last year, we felt it was important and under Andrea's leadership and the UGG team to really signify a step change in the positioning and the direction of the brand and so some of that marketing out there is a little bit polarizing we've had mixed reviews on some of it to be honest but from more of traditional accounts, but what is resonating is the effect that it having on a younger consumer and we've made significant progress over the last year with the amount of 18 to 24 year olds buying into the brand, we made a lot a lot of we made up a lot of lost ground that we had over the last couple years and I think you're seeing that in the sales quarter in some of the new accounts and it's definitely helping bring new style to the consumer and showcasing as just more than just the boots and an item, that is relevant in different fashion circles it's relevant from a lifestyle head to toe perspective and really showing the energy of the brand. We're going to continue to evolve that we have some exciting things in the pipeline going into this spring in the fall and so as we continue to expand the reach for the brand through segmentation and product innovation that campaign will continue to be important. So I'm really looking forward what that to what the teams will do about that going forward.
Randal Konik: Very helpful, thanks, guys.
David Powers: Thanks.
Thomas George: Thanks.
Operator: Our next question is from Jonathan Komp, Robert W. Baird and Company. Please proceed with your question.
Jonathan Komp: Yeah. Hi, thank you. I want to follow-up with a question on the wholesale business and you touched on this a little bit already regarding the state of the inventories in the channel but more related to the psychology of the retail partners that you have and following to pretty tough years for the wholesale business with the cleaner inventories and some of the product and brand momentum. How you're thinking about their willingness to commit to stronger orders for the fall season ahead.
David Powers: Yeah. I think that the million dollar question on the table for many people in the industry coming out of the one of the strongest holiday periods in a while. We certainly benefited from macro environmental trends in addition to the strength of the brand but whether with an impact and so we think that the weather impact is roughly about a $30 million in reorders for the brand. The good news is that the account sold through well as you said they're positioned cleaner inventories less close outlets markdown inventory in the channel. So the setup we feel good about the set up for next year the variable there is how are the key account in the marketplace going to be there open to buy as to whether this holiday was a kind of a onetime event or a sustainable benchmark that they can build up hope. So we'll take it with conservatively optimistic view obviously we're pushing for growth we're going to continue to drive that in the right channels and styles but we're mindful of maintaining the positioning of the UGG brand and not flooding the marketplace with supply again.
Jonathan Komp: And I guess just to follow-up on that I want to ask, I know a number of years ago there were two consecutive years of pretty mild winters followed by a cold spell and that the following year after the cold winter you saw a pretty sharp bounce back in the wholesale business and I'm just curious structurally if there's anything in your mind obviously it's a different environment but here structurally is it all that different from back then or just curious to get your thoughts there?
David Powers: Yeah, I think the from a macro level perspective the account a much more conservative on inventory and in quarters clean driving profitability and so you're definitely seeing that we've seen that over the last couple years really. I think you know for the most part from what I can tell we can tell the accounts feel good about how they've ended this season and want to maintain a momentum going to next year. People are looking for a return to growth or return to improve profitability I think we're starting to see store traffic stabilize a little bit but certainly the shift online is going to continue and I think people are just going to continue to manage their inventory selectively with the right brands and the right product and minimize the amount of hangover products so they can continue never healthy business.
Jonathan Komp: And last one just following-up once more as you get more visibility to the State of the order book. Would you be any more or less willing to take on speculative inventory just given what you see today is everything that you just outlined along with the clean state of the channel. Just curious are you thinking about your willingness to take on inventory risk?
David Powers: Yeah I think we the last couple years we spent a lot of time on inventory management. We have we still have work to do our inventory is a little bit elevated right now and that's a key priority for the management team going forward. But we make sure that who are buying process that we identify key style that we think they may be reorder upside in Neumel. Certainly the HOKA brand is one of those that has tremendous upside some of the innovative fashion for the season sorry the classics iterations for the season. So we'll selectively do that and I think it served us well this year. But we don't want to get ahead of ourselves and we're continuing to want to drive the growth that still in the season clean.
Jonathan Komp: Okay. Thank you.
David Powers: Yeah. Thanks.
Operator: Our next question comes from Jim Duffy, Stifel. Please proceed with your question.
Jim Duffy: Thank you, everyone, nice work executed across many fronts.
David Powers: Thank you.
Jim Duffy: Tom, thank you for the help on the tax reform benefit looking around the corner to 2019, would reiterate a commitment to the 15% plus see that margin it seems the intent is to flow that through the earnings and shareholders rather than see it as an opportunity to reinvest. Is that accurate?
Thomas George: Well, I think a lot has happened with tax reform and it's impacted us very favorably for the although we had some onetime charges this quarter related to revalue our deferred tax assets as well as put in a provision against all our earlier foreign earnings the real positive there is we've got a lot more liquidity we can consider going forward. So we're evaluating our capital structure at this point in time and evaluating that liquid the ability to invest in the business but in our top priorities increase shareholder value and the media priority is finish that $100 million share repurchase by the end of the year and get focused on the remainder of the $400 million authorization. Yeah. I think just add on to that we are definitely committed to shareholder return to increasing shareholder value. The buyback is important we stay committed to that and I think the good news is this with this cash position going forward again that's more alternative to increase shareholder value but also to invest in growth in the brands we have some incredible brands that still have upside a lot of opportunity globally in the marketplace and that's going to require some investment. But that we're still committed to what we said last year with regards to target threats why 20 returning shareholder value.
Jim Duffy: Okay. Thanks. And Dave, you mentioned still some work to do on the inventory I was surprised to see it up year-to-year with the upside and pull forward of sales can you speak a little more detail about where you sit with inventory and some of the opportunities to speed inventory returns?
David Powers: Yeah, let Steve walk you through some of the details in that.
Steve Fasching: Yeah, Jim, so inventory is going to go - it's a little bit I think John's question before about kind of elevated inventory as we said almost three years ago in certain cases we're willing to carry a little bit of elevated inventory of carry over styles to take advantage of opportunities in the season. I think this is the season where that was demonstrated and executed. In terms of the inventory levels that we're looking at right now, the reason we were up year-over-year primarily is driven by bringing UGG, bringing summer inventory in earlier this year, so in Q3 as opposed to Q4. We also have higher inventory around the HOKA brand, so with the continued explosive growth of the HOKA brand and driving sales forward, we're bringing more inventory in related to HOKA, as it may seem today we have a new fly collection introduction with HOKA, so some of that inventory is related new product introduction. And then some of the other inventories around UGG, kind of as we said allowing us to carry a little bit of elevated inventory as Dave said, we're rightly tied. There's some work to be done internally. We're already beginning to address that, but overall it worked well for us in this quarter and then we had some new dynamics with new business in terms of spring/summer and HOKA, but also looking at ways and optimizing kind of moving forward.
Jim Duffy: Great, thank you for the help.
Operator: Our next question comes from Rafe Jadrosich, Bank of America Merrill Lynch. Please proceed with your question.
Rafe Jadrosich: Hi, good afternoon. Thanks for taking my question. As you look at the gross margin upside, this year has the stronger performance overall, are there any changes to the components between gross margin as share rises to achieve that 13% operating margin by 2020?
David Powers: Not dramatically, no.
Thomas George: We've talked about before, I mean going forward the one thing to consider on the gross margin is we will have more supply chain improvements and I don't think you can plan this FX as you look forward. But another thing to keep in mind, as we grow the other brands, they don't really have as big a direct to consumer element, so the gross margin as we grow the other brands are - those gross margins and those brands are already strong, but they have great operating margins going forward. So there's really no change in terms of gross margin versus operating expense savings on how we drive that 13%, nothing has come to our attention there to really change that outlook.
David Powers: No and I think for us against original road map some of the timing might be different. We're seeing faster improvements on the gross margin from our supply chain initiatives. Obviously we're improving operating margin faster than expected, so we're still evaluating the right timing for some of these puts and takes, but essentially still structurally behind.
Rafe Jadrosich: Okay, that's helpful and then when you say such figures you touch upon where you'll be in the terms of the store closings and how that will progress in '19 and then can you discuss what you're seeing in terms of sales transfer as you're closing stores?
David Powers: Yeah, we haven't shared the store count, but we're still on track to what we put out there as the 2020 target of 125 stores. We have some popup stores that we did this season that performed really well and we'll continue to utilize that strategy to go forward, but still staying on track to the store closure plan. And really just to reiterate what we said is, we're going to optimize profitability and cash flow to close those stores through lease negotiations and natural lease expirations versus than cash pay outs. So we're still on track to do that. The teams have done a great job improving profitability in the retail channel and leveraging the assets and improving SG&A and so we'll continue to stay on that track.
Rafe Jadrosich: Okay, great. Thank you.
Operator: Our next question comes from Corinna Van Der Ghinst, Citi Research. Please proceed with your question.
Corinna Van Der Ghinst: Thank you. Hi, good afternoon. Aside from cold weather why don't you guys just talk about why the direct to consumer business was so much stronger than your plan? Why do you think your consumers started to shift to more of purchases online this quarter and kind of how do you see the comps trending going forward into Q4 and next fiscal year?
David Powers: Yeah, I think a couple of things. I think some of the exclusive products in our DTC channel paid off and having a reason to go to already commerce side to our store. I think the digital marketing teams have done a tremendous job of reaching our consumers in a more qualified and haggard way driving them to our sites. I'm particularly pleased with the ecommerce results despite the fact we did open Amazon, we had Macy's as a key partner selling online as well. So again see the strength of the brand and the work that the digital marketing teams are doing. And then in our stores I think we heard quite a few comments over the quarter and I would agree that the stores looked better than ever because of the lifestyle components in the stores, so more compelling head to toe storytelling, better presentation, helped with conversion, helped with ASPs and UPTs and so we'll continue to build on that momentum. I feel good about those channels going forward. There's still a traffic headwind out there and people shifting online, but our omnichannel capabilities are helping greatly and reopened in East Coast 3PL this quarter which improved our delivery time to consumers quite dramatically. That was an investment that we made, but that paid off in better customer service and better sales.
Thomas George: As far as the comp assumptions in the fourth quarter, our DTC comp is expected to be up low single digits and that's compared flat euro going, so that brings the euro up mid-single digits relative to low single digits last year.
Corinna Van Der Ghinst: Okay, great. That's really helpful. And then just a quick follow up on your comments around your supply chain initiatives. Can you provide a little bit more color on kind of some of the specific projects that were completed this fiscal year? What you're looking to accomplish over the next year and kind of what inning you feel like you guys are in right now in terms of those projects?
David Powers: Yeah, so we're making great progress in there. A lot of it has come down to material sourcing. We've done great work over the last couple of years on sheep skins, pricing and utilization of those materials. But the teams across the board from the product design and development and go to market teams and the supply chain have worked on shortening product development cycle on key styles, improving skew efficiency and just making sure that we are spending the time in the right areas so that the factories can provide better pricing on some of our key franchise styles that are going to help the bottom line overall. Continuing to move production outside of China into Vietnam, we've made great progress there and then continuing the consolidation of our factory base. So I think that there is still opportunity there and the teams are working against that and we'll identify that within the FY20 plans, but it's good to see that that work across board from the focus of the teams all the way from design to the store thinking is paying off sooner than expected.
Corinna Van Der Ghinst: Okay. Thank you.
Operator: Our next question comes from Bob Drbul, Guggenheim Investments. Please proceed with your question.
Bob Drbul: Hi, guys. Good afternoon. I just had a couple of questions here, the first one is, can you give us an update on the KOOLABURRA brand and can you discuss the opportunity to sell the UGG brand and where that relationship stands today?
David Powers: Yeah, so this is the second year of KOOLABURRA in the market place. We initially launched with course last year and the performance of that brand in course and other key accounts that we filter this year were great. So I'm very pleased with how that brand as performed. The accounts like it because it's higher priced in some of the private label and lower priced - quite a lot of boots have performed in that channel, so it's give them higher price, good and healthy margins which helps with their - obviously AFPs and their channel as well. As far as the opportunities to get it going forward, we're going to build on that momentum, we're going to send to some key accounts going into FY18, we have improved margins from the scale that we're getting through those accounts and so we still see KOOLABURRA small, but can be - have an impact on growth for the company over the next couple of years and we're continuing to drive that fast because it's resonating well with the consumer and important in those key accounts. With regards to UGG, if you remember when we launched KOOLABURRA, we said we're launching it so that we can better segment UGG in the market place. There are absolutely no plans to bring UGG down to course. That level of the market, the family channel or the mid tiered department stores were utilizing KOOLABURRA as a way to continue to elevate UGG market place, but filling some of that distribution gap with the KOOLABURRA brand, which we think has opportunity going forward.
Bob Drbul: Great and on one of the category you call that was the slipper business, is that specifically to a younger customer, the 18 to 24 year old customer that you feel like you're making progress with or is that sort of a broader success that you're experiencing today?
David Powers: I think it's a broader success, but the sharp point is the younger consumer and what I love about it is you're starting to see - there's a slipper movement happening and I think the UGG is leading it and I think we're going to take full advantage of it both in men's and women's. Our Tasman style has been doing extremely well. That's a heritage style that's been in line for some time and you're starting to see that be adopted by a younger male and female consumer and a lot of the fashion iterations the team has done on slippers are working very well and getting noticed by younger consumers. So the course with the business is strong and the new slipper business that we are creating through fashion iterations and more of an indoor/outdoor mentality are performing well and creating energy for the category.
Bob Drbul: Great, thank you very much guys.
Operator: Ladies and gentlemen, we've reached the end of the question-and-answer session. Now, I'd like to turn the call back to Dave Powers for closing remarks.
David Powers: Thanks. We're extremely pleased with our performance in the third quarter and this once again demonstrates we're on the right path. The team's ability to exceed our target over last year is proof that we're aggressively pursuing and implementing improvement opportunities and driving long-term value to our shareholders. I'm especially impressed with the tenacity and focus of the team despite the numerous distractions the company faced over the last year. This demonstrates the strength of the Deckers organization. Our board of directors, the management team and employees are committed to realizing our long range vision. I'm proud of all of our accomplishments to this point, but know there is still work ahead. I want to thank all of our stakeholders for their support and continued dedication to improving our organization as we continue on this journey.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.